Operator: Welcome to the Carlsberg Q1 Report For 2015 Conference. [Operator Instructions]. Please note that this conference is being recorded. I will now turn the call over to your host, CEO Jorgen Buhl Rasmussen. You may begin.
Jorgen Buhl Rasmussen: Thanks a lot and good morning, everybody. And welcome to our Q1 2015 conference call. As just said, my name is Jorgen Buhl Rasmussen. And I have with me our CFO, Jorn P Jensen, and Vice President of Investor Relations, Peter Kondrup. Due to the seasonality of our business, Q1 traditionally only accounts for 5% to 10% of annual operating profit and therefore we do not provide a presentation for this call. But I'll make a short summary of our Q1 performance. And afterwards, Jorn will comment on the outlook for 2015. The key highlights for the quarter are we delivered strong market share growth in all three regions. Our organic performance was in line with our expectations. The Group delivered 4% organic revenue growth, driven by a solid price/mix of 3% and flat total volumes. Operating profit grew organically by 8%, driven by strong performance in Western Europe and Asia. Return on invested capital improved by 40 basis points to 8.4%. In Western Europe the beer markets were flat. Our beer volumes grew by 5%. This was supported by early selling to Easter -- earlier selling to Easter than last year and starting off in the four markets that went live with BSP1 in early April. And we delivered strong market share performance with a similar good performance in markets such as France, Poland, the Nordic markets and the Balkans. Price/mix in Western Europe, beer was minus 2%, mainly driven by phasing in a small quarter, negative channel and customer mix and a more challenging pricing environment. Organic operating profit grew significantly by 41% due to the aforementioned volume growth and ongoing efficiency improvements. In Eastern Europe the Russian and Ukrainian markets declined by 9% to 10% as a result of the changing macro environment. Our Eastern European volumes declined by 16% due to the market decline and inventory reductions at Russian distributors. The inventory reductions were driven by the very visible channel shift from traditional trade to modern trade. Our Russian value market share grew around 50 basis points, while our volume share was flat at 38.4%, negatively impacted by last year's introduction of smaller pack sizes. Revenue per hectoliter in Eastern Europe grew strongly by 15%, driven by price increases. Despite a higher cost of goods sold due to currency impact, the strong price/mix led to organic gross profit per hectoliter growing by low teens. Operating profit declined due to negative operational leverage in our fixed cost base in the seasonally very small Q1 and higher sales and marketing expenses. And going to Asia, our markets there continued to grow and our Asian beer volumes grew organically by 4%. The growth was mainly driven by India, Cambodia and Nepal, but also our Chinese business which went to growth and grew volumes by 1%. Volume growth and a positive price/mix of 2% meant that organic net revenue grew by 7%. In reported terms net revenue increased by 29%, positively impacted by currencies and the Chongqing Eastern asset acquisition. Asian operating profit grew strongly by 14% organically and reported 26%, driven by volume growth, price/mix and overall cost consciousness. Operating profit margin grew organically by more than 100 basis points. The reported operating margin decline was as expected and due to the Eastern asset consolidation. The Group's overall agenda for 2015 has not changed since we reported our full-year results. We are making good progress on the implementation of a Group-wide initiative to further improve organizational efficiencies by simplifying, streamlining and removing duplication in processes and functions as well as the implementation of operating cost management model, which includes zero-based budgeting. The benefits from this activity will not impact our communicated targets for 2015 but will be reflected in our targets for 2016. With this, I will hand over to Jorn, who will provide a few comments related to our 2015 outlook.
Jorn Jensen: Thank you, Jorn. As just explained, our organic Q1 results were in line with our expectations. And consequently we maintained our outlook of a mid to high single-digit percentage growth in organic operating profit. All major assumptions, with the exceptions of Forex, are unchanged compared to what we said in February. With respect to Forex, the negative currency impact based on current rates will be less than previously expected as a result of the recent strengthening of the Russian ruble as well as several Asian currencies. The negative translation impact on operating profit will be around DKK400 million, contrary to the previous expectation of around DKK900 million. Lastly a few comments on phasing this year, especially concerning Q2. Please remember that a large proportion of the Western European volume growth will be reversed in Q2 as Q1 benefited from Eastern and the BSP1 stocking. In Eastern Europe we have also in Q1 worked hard to bring down inventories and will continue to do so. And this means that our shipments in Q2 will more closely reflect consumer offtake. Also in spite of continued very strong price/mix in Eastern Europe, higher input costs will put a pressure on margin percentages in Q2 in the region. And with this, we're happy to take questions.
Operator: [Operator Instructions]. The first question comes from Ian Shackleton from Nomura. Please go ahead.
Ian Shackleton: Look, before I ask my first question, could I just address a few remarks to Jorgen, because I realize this is his last quarterly call? And perhaps on behalf of all the investors and analysts on the call, I can thank him very much for all the time he's spent with us over the eight years he's been CEO. I think we've very much appreciated the open dialogue that he's had with investors and analysts. And we've had some very tough conversations, I think, over that period, particularly around regulations in Russia. So Jorgen, I think we wish you all the best. I hope you can have a lot more time to watch Manchester United from here on. And I do say that slightly with gritted teeth, having watched you snatch a victory from Crystal Palace on Saturday. Perhaps just turning to my question. Turning to Western Europe, you talk about the markets being flat volume. Your volumes up 5%. If you took out the sell-in ahead of Easter on BSP1, what would your volumes have gone up versus the market flat?
Jorgen Buhl Rasmussen: Because we have very strong market share performance, it would have been marginally up. So better than total market. But a big part of the volume growth would be Easter and BSP1 stocking up.
Ian Shackleton: And just a quick follow-up. You talk about price/mix of 15% in Eastern Europe. Could you just tell us a bit more about pricing in Russia, because I think you did have a price increase in November? Has there been much else come through?
Jorgen Buhl Rasmussen: Yes. We had a price increase twice so far this year and we had a price increase in January and one in March, both being around a 3% to 4%. And I would say in general, if I look across the market, the market more or less follow a level of price increase we have been taking.
Operator: Our next question comes from Trevor Stirling from Bernstein. Please go ahead.
Trevor Stirling: And Jorgen, just to reiterate Ian's sentiments entirely. Thank you very much for all your patience and all the questions over the years. Two questions from my side. First one, Jorgen, you talked about you've update the guidance on the translation effect on profits. But there's also a transactional effect on raw materials in Russia on, in particular, PET and aluminum. Does that mean that there's a little bit less margin pressure on Russia this year than you were expecting maybe three months ago?
Jorgen Buhl Rasmussen: Yes, so to speak. Of course, the appreciation in relative terms, at least together on the ruble, of course means that the transaction effect, everything else being equal, in Baltika will be slightly less than what we expected in February.
Trevor Stirling: Okay. Thank you. And then second thing is I noticed central costs are slightly lower. Does that partly reflect maybe lower levels of BSP project costs?
Jorgen Buhl Rasmussen: No, it's all -- it's phasing.
Operator: Our next question comes from Soren Samsoe from SEB. Please go ahead.
Soren Samsoe: First a question regarding the mix in Eastern Europe, if you could split up how much you've had in product mix and how the channel mix has been. That was first question. Second question is regarding pricing in Russia. It seems very strong. Given it's a special year in terms of pricing, will you intend to be doing more frequent price increases than previous years? Thank you.
Jorgen Buhl Rasmussen: Again, we won't split, let's say, our price/mix number into elements. But if we talk about mix between segments, so brand mix, you could say it's slightly positive in terms of brand mix. Customer mix, channel mix clearly is negative, particularly driven by the growth of modern trade versus traditional trade. On the pricing in Russia, we will never talk about our plans going forward in Russia on pricing. The two price increases we have taken so far in January and March is not too different than what we would normally do in a year before the season. But I guess I can say assume there's more to come. But don't really want to be more specific than that.
Soren Samsoe: Okay. Then just a second question regarding your return on invested capital that you have started to report. Could you just mention the main drivers of the increase in that, both before and after goodwill? Thank you.
Jorn Jensen: Well, it is as simple as you have seen, higher -- slightly higher EBIT and then low invested capital. So -- which is also explained in one of the notes to the release this morning on page something -- on page 22.
Soren Samsoe: Okay. So it's mainly Western Europe and Asia that is driving it, I guess?
Jorn Jensen: That you again can see on page 22. So yes, it is.
Operator: Our next question comes from Simon Hales from Barclays. Please go ahead.
Simon Hales: A couple of questions from my side, please. I wonder if you can just talk a little bit more about the pricing environment more generally in Western Europe. Obviously we know it's challenging. I'm just wondering if you can just maybe flesh out some comments around some of the individual markets, what you're seeing on the ground. I appreciate it's a low quarter for you in that part of the world. And secondly, just going back to the FX guidance for the year. What ruble/euro rate are you using to set that DKK400 million headwind, Jorn? Is it the current spot rate, which is RUB57, RUB58, or is it above that?
Jorgen Buhl Rasmussen: Simon, to the pricing environment in Western Europe, where we had minus 2%, as we say, on beer in price/mix, that's clearly -- it is a small quarter and therefore there can be a lot of phasing when we talk about price and price development year on year. Secondly, there is a negative impact from channel mix. So we are seeing some of the lower-priced channels going faster than convenience, as an example, across markets. And then I would say it is definitely clearly a challenging pricing environment. There's a lot of desire for more promotions and deeper promotions, which all together add up to a minus 2% for the quarter. We do not expect the full year to be minus 2%; it should be slightly better.
Jorn Jensen: And on the second question, as you know, we are not this year being specific on our Forex assumptions. But as I guess you would imagine then we are normally trying to be relatively cautious, conservative in our outlook on Forex.
Simon Hales: Perfect. And can I just follow up? Just going back to Western Europe and Ian's earlier question around the benefit of the phasing in the first quarter, when I think about how the stock load and the early Easter will have benefited the EBIT delivery in the quarter because of margin expansion, should I assume that the majority of the margin expansion you've seen in Q1 is really the benefit of that volume leverage? Or is a significant chunk of the 190bps margin expansion coming through those efficiency delivery as well?
Jorgen Buhl Rasmussen: It is both. So it is. Of course, there's no doubt that the plus 5% volume have had very positive impact on operational leverage. But in general we are seeing that the efficiency programs that we have been implementing over the last many years in Western Europe are still delivering in line with expectations.
Operator: Next question comes from Michael Rasmussen from ABG. Please go ahead.
Michael Rasmussen: And two questions, please. First if you could talk a little bit about the French market, both how you see the market developing right now and also add a few more comments on your market share gains and maybe a little bit on the pricing environment in France more specifically. And secondly in Western Europe, if you could talk a little bit about how we should expect the timing from the four markets that you've recently put on the platform. Are we going to see a lift already in 2015 or do we have to wait until 2016 to really see these markets benefiting margins? Thank you.
Jorgen Buhl Rasmussen: And if I take France, the French market, quarter one, it's about flattish in terms of market development. But as you know, France has been fairly positive, certainly if you look at 2014 as a market development. And that we see being pretty good for quarter one. If we -- it's still premiumizing. So we're not seeing any trading down; it's still trading up on average in France. Many of, if not all of our premium brands are doing very well. So you all know that Tuborg will be launched and is doing very well. In quarter one we launched a new non-alcoholic brand called Tourtel. And also doing extremely well, getting quite a lot of market share in the first quarter. And our overall market share is also performing very strongly in quarter one against last year. So the trend we have seen now for a little more than a year is continuing in France, us gaining market share in a market being pretty positive. Still trading up. So that's probably the whole situation.
Jorn Jensen: And when it comes to BSP1 benefits, it is like it has been for all the other markets, that it's not a lot you get in the first quarters and the first year. So by far most of the benefits will be from 2016 and onwards.
Michael Rasmussen: So would it be a right assumption to make that the margin lift in 2016 should be somewhat higher than the margin lift we're looking for in 2015?
Jorn Jensen: That we will get back to when we guide on 2016 in February.
Operator: Our next question comes from Jonas Hansen from Carnegie. Please go ahead.
Jonas Hansen: Two questions also from me. First with regards to Russia. Should we expect further inventory reductions or is the channel shift now worked into the supply chain, so to speak? And then if you could just remind me of the negative impact expected from the Eastern assets in Asia from Chongqing acquisition full year. Thank you.
Jorgen Buhl Rasmussen: On average, Jonas, you should not expect further reduction in Russia in terms of absolutely inventory levels. But of course it depends on the trend in traditional trade versus modern trade and our assumptions. But I would say we are close to the kind of inventory level we would expect going out on at year end.
Jorn Jensen: And to the second question, it's, well, in ballpark numbers around minus DKK100 million on EBIT ish for the full year.
Operator: Our next question comes from Andrew Holland from Societe Generale. Please go ahead.
Andrew Holland: Just a couple on pricing, if I may. Firstly, to press you a bit where you refer to slightly better pricing that you expect for the year as a whole in Europe versus the minus 2% in Q1, my interpretation, slightly better, would leave me with minus 1% in Western Europe. Would you agree with that or do you think it will be positive? And in Russia, can you just say what inflation is running at? Your price increase is running at 15%. What is that by comparison to food and beverage inflation?
Jorgen Buhl Rasmussen: Andrew, to the pricing, I think your interpretation is not far away, I would say. It won't be positive probably. And I think we also said going into the year it would be about flattish. So I assume flattish, minus 1%, is probably a good assumption.
Jorn Jensen: And, Andrew, inflation in Russia, it's around 16% in the first quarter, expected to be around 15% on a full-year basis.
Andrew Holland: And just as a follow-up, you referred to volumes being down in Vietnam. A bit esoteric. But can you tell us what's going on in Vietnam? And is that all of your business and does it include your investment in HABECO or is it just the consolidated bit of the business?
Jorgen Buhl Rasmussen: But Vietnam is not a big thing. And in fact, if you look at our market share overall in Vietnam we are basically flattish or slightly up on market share. So it's really mainly due to there was in Quarter 1 some bad weather, quite rainy weather in the northern part and center part of Vietnam, less in the south. So markets did not show a very healthy development in the first quarter in the north and central part, not necessarily the case in the south part.
Operator: Our next question comes from Sanjeet Aujla from Credit Suisse. Please go ahead.
Sanjeet Aujla: Just on Russia pricing this year, as you've seen the ruble appreciate since you set guidance in February would you look to ease some of the price increases that you've got planned for this year? And then secondly on Asia, I'm just wondering why price mix is much softer in that market. Is there some country mix dynamics there? Thanks.
Jorgen Buhl Rasmussen: On Russia pricing we are not really -- pricing of course is influenced by also what's happening to FX. But, as you know, we have seen a lot of pricing in the beer category in recent years so a lot of the planning we do on pricing would really be based on what we think would be right for the category local to balance volume and value development again. So I would say not really influenced by what has been happening to the ruble lately. The second question was on Asia and pricing development where we have plus 2. It's not really again -- if you look at it market by market we don't see a significant change to what we have seen in the past in terms of the pricing mix benefit we get by market. It's maybe slightly lower in China than what we would normally see but it's very much in line. So it's more country mix.
Operator: Your next question comes from Hans Gregersen from Nordea. Please go ahead.
Hans Gregersen: Three questions please. You have in connection with Q4 also today given various comments regarding the three regions. Could you just overall update on your margin outlook assumptions for the three divisions? That's the first one. Second, Jorgen Buhl, you have been quoted on the wires -- I don't know if it's correct -- you're about shortly to internally launch -- announce new cost cutting programs. Can you update in terms of what that would imply in terms of cost and phasing overall, if there's anything new regarding what you said in the annual report for 2014? And then finally, in terms of the strengthened ruble which over time should improve on inflation outlook and so on, do you see that will have any impact on the market outlook for 2015 at all? Thank you.
Jorn Jensen: So Hans, on the first one there's no change in anything when it comes to margin outlooks that we by the way have not been specific on region by region for this year. So, as we said, it is a very small quarter so let's see how everything progresses over summer. So in principle no change in our guidance for the full year, neither on margins region by region. And then maybe just to take the third question. No, we have not -- we do not see any reason to change our outlook for the Russian market or anything else in Russia for that matter based on the recent appreciation of the Russian ruble. Again, very small quarter, let's see how it plays out over the summer.
Jorgen Buhl Rasmussen: And Hans, to your second question, I don't know what I'm quoted saying but it's fully in line with what we said back in February. We do have an initiative looking at how we can make the organization more agile, less complex, and also we are dialing up on the sale-based budgeting. That's what I referred to also when I spoke to Bloomberg and we are well on the way and we'll soon start announcing some of the outcome of this process. But that of course will be done internally before we do anything externally and therefore no numbers, nothing on cost or anything at this point.
Operator: Our next question comes from Richard Withagen from Kepler Cheuvreux. Please go ahead.
Richard Withagen: I have two questions on Asia. The organic operating profit growth continues to accelerate, we already saw that in 2014, so my question basically is the cost consciousness an increasingly important contributor to that growth number? And secondly is a double-digit organic growth assumption in Asia for 2015 realistic?
Jorgen Buhl Rasmussen: I think I can confirm what you're saying in your first question. Yes, you're also seeing more programs being worked upon in Asia on cost and therefore that's also coming through in numbers. Second question was about?
Richard Withagen: Yes on Asia again. This organic operating profit growth, it was 14% in the first quarter but can we expect a double-digit organic growth in Asia for 2015?
Jorgen Buhl Rasmussen: As you know, we don't really guide by region; we guide on a Group level. So again no specific answer to that question.
Operator: Next question comes from [indiscernible] from Redburn. Please go ahead.
Unidentified Analyst: It's Chris Pitcher. Just in terms of your Russia performance, could you give us a bit more detail on what drove this destocking by the wholesalers? Because the shift from the traditional to the modern trade isn't a new development and if anything in the quarter, given the no excise duty increase, I had expected perhaps a positive shipment phasing. So can you give us a feel for really what changed in the minds of the distributors, and in that context why you're really confident that inventory levels will be fine going into the second quarter? And then just specifically on Europe pricing, you mentioned you expect price mix to improve for the balance of the year. Again what has given you confidence in that? Have you taken price increases that have stuck without having to promote back or is it geographic mix? Just to give us a bit more color of why that should go from minus 2 to minus 1. Thanks.
Jorgen Buhl Rasmussen: Chris, to your first question on inventory levels in Russia, there are no big changes to assumptions but it's still quite dramatic what we're seeing in terms of channel shift where we are seeing traditional trade going down by more than 10% quarter on quarter. And I don't think always distributors are taking that into account when they plan their inventory levels because it is a significant change and that's really what you're seeing coming through in the numbers. So no surprise but sometimes you don't expect that when you're planning for the inventory levels and that's what we're seeing. We believe the level we have now, assuming we don't see a change to the trend, is probably where we will also finish at the end if you look at our total inventory levels in our distributors.
Unidentified Analyst: Could you give us a feel for what the Russian shipment volume was down in the context of Eastern Europe? Because Ukraine must have been down -- production data was down in the mid-20s. Was your -- was the destocking impact 200,000, 300,000 hectoliters, that sort of level?
Jorgen Buhl Rasmussen: It was down by about minus 16%.
Unidentified Analyst: Roughly minus 15%. Okay.
Jorgen Buhl Rasmussen: 16%.
Unidentified Analyst: Minus 16% [indiscernible].
Jorgen Buhl Rasmussen: Yes.
Jorn Jensen: Maybe just to add to it, also when it comes to why we don't think inventory levels should be much lower than what we are seeing at the moment is also a pure operational thing. So actually in order for us basically just to manage deliveries throughout this huge country we cannot go down much further in inventory levels. So there's also kind of an operational minimum to what these inventories should ideally be. And that's basically very close to where we are now.
Jorgen Buhl Rasmussen: In particular going into the season where you never know if it's going to be a good month, nice warm weather, and you have to be prepared for that. So that has to be taken into account as well in your planning also. And now we have completely forgotten your second question.
Unidentified Analyst: Europe pricing, sorry.
Jorgen Buhl Rasmussen: In Western Europe?
Unidentified Analyst: Yes improvement in price mix, what is it that gives you that confidence of it getting better for the balance of the year?
Jorgen Buhl Rasmussen: Because again in Quarter 1 and then we looked through Quarter 1 and the mix between countries and because we had destocking or stocking up based on BSP1 we have some variables in Quarter 1, being a very small quarter, that has a negative impact on price mix. And that's why we think price mix in Quarter 1 is a little more negative than we will see for the full year. So that's the main explanation.
Unidentified Analyst: So there is no perceptible change in the underlying price environment, it's more technical?
Jorgen Buhl Rasmussen: Correct.
Operator: Next question comes from Olivier Nicolai from Morgan Stanley. Please go ahead.
Olivier Nicolai: I've got three questions please. Just I don't know if you mentioned it but could you just quantify the volume impact from Easter and the stocking effect in Q1 in Western Europe? Second question is on Russia. Are you concerned at all that we could see more fragmentation of the Russian beer market? I was just looking at the others category and I see it growing share. I know in the past you said that at some point with the modern off trade they should not gain so much but I'm just wondering because we've seen this trend already for next -- for the last few years. And also are they taking share only in volumes or are they also taking share in value? And then just a last question, it was regarding the announcement that you made with Brooklyn Brewery in New York. So are you just planning to roll out the brand across Europe and is it an exclusive agreement or could you sign other agreements with other craft brewers?
Jorgen Buhl Rasmussen: First the volume effect on Easter and stock build because of BSP1, we have not been specific but what we have said, we have gained market share in Western Europe. We said it was a flat market so some of the explanation would be market share gain and it was a strong quarter, but most -- by far most of the explanation would be -- for the volume growth, the 5% volume growth would be the stock build and then Easter.
Olivier Nicolai: Okay. So therefore the 41% organic EBIT growth, we can assume that most of it was from this?
Jorgen Buhl Rasmussen: Yes. And then on the fragmentation and this Group we call others in Russia, still we think it's getting close to the peak for that kind of group of brands in Russia. We are doing more and more to also address in let's say [indiscernible] portfolio. Secondly we do see in Quarter 1 as an example they are not gaining share in modern trade; in fact they are losing a little in modern trade. Where they gained would be in traditional trade. They have slightly more gain on volume than value but in general I would say it's not just driven by price, it's also driven by brands, local connection to local consumers. So it's not only price but a big part of the other group is also -- it is [indiscernible] volume, that's quite a significant part of the other volume. On Brooklyn I cannot be specific. We have now collaboration with Brooklyn in a number of markets and I guess it's likely to expand. But it's not exclusive, it does not mean we cannot work with other craft brands and not work with our own portfolio but it was a strong addition to our portfolio, working with Brooklyn.
Operator: Our next question comes from Tobias Bjorklund from Danske Bank. Please go ahead.
Tobias Bjorklund: I have a question. So you keep your guidance of EBIT growth of mid to high single digit organically and after -- over the last 3 months has that composition changed based on what you've seen here, how you're going to reach that EBIT growth? That's my first question. And then you talk about the Western Europe, you've seen some negative development in the UK, Switzerland and Italy, you talk about losing market share in Switzerland. If you could give some comments on both Switzerland and the UK and Italy, if it's general market or it's Carlsberg specific on the other markets as well? Thank you.
Jorn Jensen: Tobias, to the first question on guidance, as you can imagine, there's always smaller changes, some markets doing slightly better than you expect and other markets doing slightly worse. But in the big scheme of things it is pretty unchanged region by region versus what we expected in February.
Jorgen Buhl Rasmussen: And on the markets, Tobias, if you take Switzerland where we are losing a little market share, it's really driven by the strong currency and therefore you see more import coming in particular from Germany. That's really driving the share decline. So it's linked to currency. And then if we talk UK, UK markets slightly down, that's what we're referring to, down by close to 1% in Quarter 1. But we are gaining share in Quarter 1 in UK so for us that's [indiscernible] performance than the total market. Italy again is about market decline. Our share would be about flat and we're still seeing strong development on our DraughtMaster system in Italy in the on trade, the one-way PET keg system that we started rolling out in Italy some years ago or a couple of years ago.
Operator: Our next question comes from Tristan van Strien from Deutsche Bank. Please go ahead.
Tristan van Strien: Three quick questions if you don't mind, one on Russia. You've got higher sales and marketing investments. Can you just give a bit of color on that, what that is into and whether that's a question of the modern trade for supporting your price, if that will remain for the rest of the year? The second, on Vietnam I've got trouble squaring the numbers because if I heard you correct you said your market share is flat and I've got 6% volume growth in Q1 for the market according to government data and then Heineken said they had a brilliant [indiscernible] so I was wondering how you get to flat in that market? And then last, in Nepal, can you just give an update on the situation there in terms of your brewery? Thanks.
Jorgen Buhl Rasmussen: On the sales marketing expense.
Jorn Jensen: It's all about phasing. It's not phasing within the year. There's no change to total sales and marketing investments in Russia for the year versus what we planned in February.
Jorgen Buhl Rasmussen: And on Vietnam, again because we're only or basically primarily only in the center of Vietnam and the northern part of Vietnam it's a different development. We did have negative market development in the center of Vietnam and northern Vietnam, back to what I talked about, pretty bad weather and a lot of rainfall. It would be different in south and south being a bigger part of the total market that kind of explains the difference you probably hear about in Vietnam. So we are gaining share but we are strong in northern and central Vietnam but the market was down because of bad weather. Nepal of course is a very difficult situation. Right now it's -- with the earthquake we are operational and the brewery has not been damaged apart from some cracks in some walls here and there and we did not have any of our employees being injured or harmed during the earthquake. So that's all great but of course the market in the short term is very much negatively impacted in Nepal.
Operator: [Operator Instructions]. The next question comes from Andrea Pistacchi. Please go ahead.
Andrea Pistacchi: I have three questions please. The first one, I just wanted to press you slightly on Russian market volumes. If you could maybe give a sense of how it feels on the ground. Does it feel that Q1 was a trough? Is there any sense that the situation is getting a bit less bad maybe? The second question, whether the modern off trade -- whether you've seen an acceleration in share gains of the modern off trade in the current environment? And thirdly, the Myanmar brewery that you've just commissioned and opened, could you give us the capacity for that brewery please?
Jorgen Buhl Rasmussen: Yes on the Russian market on the ground and the consumer, it's not really -- I would say we're not seeing a change in trend. It is still a pretty challenging environment for many consumers so I would say at this point in time no change, no sign of any significant improvement versus what we've seen in Q1 and [indiscernible] more general and not only the beer category. Modern off trade is clearly growing and growing significantly versus traditional trade and modern trade would be getting close to 40% of the beer market now. So it is a strong growth and we see that trend continuing. On Myanmar, you're right, we just had the official opening of the brewery. We are now in the market [indiscernible] local brand and also with Tuborg and soon Carlsberg and the capacity of the brewery will be a little more than 0.5m hectoliters.
Operator: We have no further questions on the phone so back to you speakers.
Jorgen Buhl Rasmussen: Okay. Then I think it's time to close the call and I would say, as it's my last conference call today as President and CEO of Carlsberg, I would like to thank you all for the many, many interesting and also, as some of you said, challenging discussions we have had in the past eight years. I have truly enjoyed it and I would also like to say thank you for some of the many positive comments being made on this call. And I know I will see many of you later on today in the afternoon and look forward to have a beer with you and see you later, many of you. Thanks a lot.